Operator: Good afternoon and welcome to the Beyond Meat First Quarter 2025 Conference Call. All participants are in a listen-only mode. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Paul Shepherd, Vice President, FP&A, and Investor Relations. Please go ahead, sir.
Paul Shepherd: Thank you. Hello, everyone, and thank you for your participation on today's call. Joining me are Ethan Brown, Founder, President and Chief Executive Officer, and Lubi Kutua, Chief Financial Officer and Treasurer. By now, everyone should have access to our first quarter 2025 earnings press release, filed today after market close. This document is available in the Investor Relations section of Beyond Meat's website at www.beyondmeat.com. Before we begin, please note that all The information presented today is unaudited and that during the course of this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and beliefs and involve risks and uncertainties that could cause actual results to differ materially from those described in these forward-looking statements. Forward-looking statements in our earnings release, along with the comments on this call, are made only as of today and will not be updated as actual events unfold. We refer you to today's press release, our Quarterly Report on Form 10-Q for the quarter ended March 29th, 2025, to be filed with the SEC, and our Annual Report on Form 10-K for the fiscal year ended December 31, 2024, along with other filings with the SEC for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Please also note that on today's call, management may reference adjusted EBITDA, adjusted loss from operations, and adjusted net loss, which are non-GAAP financial measures. While we believe these non-GAAP financial measures provide useful information for investors, any reference to this information is not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Please refer to today's press release for a reconciliation of these non-GAAP financial measures to their most comparable GAAP measures. And with that, I would now like to turn the call over to Ethan Brown.
Ethan Brown : Thank you, Paul, and good afternoon, everyone. The first quarter of 2025 was clearly a disappointing one for us and a deviation from the previous two quarters in which we drove year-over-year revenue and gross margin growth, significantly reduced operating expenses, and achieved large improvements in net income and adjusted EBITDA. In Q1 2025, we experienced worsening category and macroeconomic conditions that impacted our top-line recovery and reverberated throughout our P&L. Before going through what I believe is a very strong response to this interruption in our recovery, I'll provide some color around our results, including calling out at a high level some extraordinary and more transient drags on our performance. First, as we discussed in our previous earnings call, certain large retail customers in the United States elected to transition plant-based meat from the refrigerated to the frozen aisle within their stores. In more than one retailer, this transition led to an interruption in availability of some of our core products throughout Q1 2025. As category and macroeconomic headwinds more generally slowed velocities toward the latter half of the quarter, it became harder to overcome the volume implications of these distribution gaps. Looking forward across the balance of the year however, we expect to build back much, though not all, of this and other lost distribution. These gains provide the opportunity, all things being equal, for better retail performance in subsequent quarters. Moving from net revenues to gross margin, as I've shared previously, we've been consolidating our production network for a variety of reasons, including the right-sizing of our manufacturing footprint to current revenues. Through these measures and the commencement of increased internal production at our Devault, Pennsylvania facility, we expect to see strong year-over-year improvements in our production efficiency and costs. Our Q1 results do not yet reflect these improvements for four primary reasons. One, lower than anticipated sales volumes led to lower levels of overhead absorption. Two, the change in product mix, in part reflecting the interruption in retail distribution of certain core items, and a larger percentage of sales coming from product with higher direct labor and utilities increased the baseline cost of goods produced. Three, we saw some delays and lower than planned line throughput as we scaled new capacity in our Devault, Pennsylvania facility. These startup factors led to extended production over time and more changeovers than would be typical. Fourth, we recorded a particularly large inventory provision this quarter as we sought to dispose of certain inventories for strategic reasons. This inclusion in our COGS, which is a non-cash impact, created a strong negative drag on margin for the quarter but should benefit our real inventory carrying costs going forward. Moving now to margin, in the absence of further worsening category and macroeconomic trends, we expect overall volume as well as the volume of our core products to improve as we gain back retail distribution and benefit from seasonality, putting us in a better position to actually realize the planned benefits of a more efficient and appropriately sized production footprint. Turning to our operating expenses, I want to commend the team on managing tighter budgets, even as we need to be more aggressive, a subject that I will touch upon in a moment. Though our total operating expenses came in at $55.1 million, which still represents a $2 million year-over-year reduction, it's important to distinguish between ongoing OpEx and extraordinary or transient expenses, which for the quarter totaled $7 million. These non-routine charges include legal arbitration expenses relating to a previously disclosed contractual dispute with a former co-manufacturer, additional incremental non-cash charges arising from decisions to increase inventory provisions for certain items, and expenses related to the suspension of our operational activities in China. In addition to these aforementioned charges, I would also note that our OpEx in Q1, include severance payments related to our February reduction in force. By setting aside these more transient costs, one can more clearly see evidence of progress with respect to our baseline operating expenses. Though this additional color provides greater visibility Beyond the aggregate results, what is more important is what we're going to do to get back on track. We take this deviation from a recovery extremely seriously and we're using it as an opportunity to strengthen our organization. Whatever our top-line turns out to be in this current environment of uncertainty, our overarching goal remains the same. EBITDA positive on a run rate basis by year end 2026. To ensure that we achieve it, we are focusing additional internal and external resources on further driving our operational expenses down while optimizing our portfolio and manufacturing toward margin objectives. We will also continue and deepen our efforts to recast our value proposition with consumers through the development, sale, and marketing of clean and simple plant-based proteins that taste great and support health and wellness goals. I'll now turn to the second part of our recovery. To be exceedingly clear, while Beyond Meat can always and will always seek to improve our products, we believe the central issue impeding our return to sustained growth is perception or more accurately misperception. According to a recent trend report, the consumer's interest in protein is only growing, with 61% of surveyed consumers reporting increasing their protein intake in 2024, up from 48% in 2019. Beyond Meat is, of course, a protein product which, depending on the specific offerings, enjoys certifications from the American Heart Association, the American Diabetes Association, and the Clean Label project, among other organizations. Convenient products such as Beyond Stake deliver high levels of protein using simple and recognizable ingredients made through a process that is clean and efficient and absent cholesterol, drugs such as antibiotics and hormones, and of course, lacking the threat of zoonotic diseases. We should be a central part of satisfying consumer interest for protein, yet for reasons I will touch on momentarily, we need to reestablish ourselves within their decision set. Regarding taste, we regularly see our products earn positive media and consumer reviews, including our flagship product, the Beyond Burger, which recently won its seventh first-place position in seven years in the largest survey of its kind, one answered by millions of consumers. I find this win to be important given that in [Beyond 4] (ph), the fourth and current iteration of the Beyond Burger, we drove significant nutritional gains, yet clearly still satisfy consumers' taste buds. We will continue to hit on these themes of taste and health and simple and clean ingredients as we expand our portfolio. For example, after years of research and development, last week we announced the arrival of Beyond Chicken Pieces nationwide at Kroger. Though this product has its roots dating back to Beyond Meat's beginning 16 years ago, over the last several years we put considerable effort into Beyond Chicken Pieces taste, texture, ingredients and nutrition before reintroducing it. With a simple and clean ingredient deck including avocado oil and 21 grams of protein the product is versatile, convenient, and one of my personal favorites. This reality of accolades press and clean and simple plant protein products notwithstanding, in the main, Beyond's value proposition remains obscured in doubt and misinformation. If we look inward, our highest priority is driving operating and margin improvements. Externally, our highest priority is on dispelling misinformation and empowering the consumer to make informed decisions around our products. To this end, I would encourage you to watch a short film we put together that is gaining traction on YouTube called Planting Change. Planting Change, which is just shy of 10 minutes and which has over 2 million views in its short time online, explores the origin of misinformation regarding our products, gives a glimpse of the relentless research on health and nutrition, discusses the process we use to deliver protein from the field to the center of the plate, and features some of our farmers talking about what growing for Beyond means for their livelihood, for their families, and for their communities. Looking forward, we are fast following planting chains with the launch of our latest marketing campaign, Real People, Real Results. Real People, Real Results is a social first 30-day challenge that follows six people of various ages and backgrounds as they shift to a healthy plant-based diet that includes Beyond Meat. The program was designed by Dr. Matthew Lederman, co-author of Forks Over Knives Plan and the Whole Foods Diet, along with Dr. Alona Pulde. And in just 30 days, participants saw real, positive changes to their health while enjoying a plant-based diet that included delicious meals with the Beyond Burger, Beyond Beef and Beyond Steak, among other Beyond products. From lower total cholesterol, lower LDL cholesterol, to weight loss, better sleep, higher energy levels, and lower information, Real People, Real Result participants reported exciting benefits of a plant-based diet that includes our products. The social campaign launched on Instagram and Facebook, TikTok and YouTube, and we're amplifying it digitally across Connected TV, Google Performance Max and Digital Out of Home in the coming weeks. The next six weeks, a new participant video drops each week documenting their personal journey. More generally, stay tuned as we will be announcing more under the Real People, Real Results campaign and its accompanying 30-day challenge program across the balance of the year. Finally, with respect to strengthening our balance sheet, as we announced today, We have successfully closed on a financing facility providing up to $100 million in new senior secured debt from Unprocessed Foods LLC, a wholly owned subsidiary of Ahimsa Foundation, a nonprofit organization focused on advocating for plant-based diets. This facility provides us with an option for additional liquidity, as we advance our strategic priorities and invest opportunistically in driving growth. We are pleased to welcome a new investor who deeply understands our industry and is mission aligned with our planet-based ethos. I'll now turn the call over to Lubi.
Lubi Kutua : Thank you, Ethan, and good afternoon, everyone. I'll begin by reviewing our financial results in a bit more detail before providing some brief comments on our outlook. In the first quarter of 2025, net revenues decreased 9.1% to $68.7 million, compared to $75.6 million in the year ago period. The decrease in net revenues was primarily driven by an 11.2% decrease in volume of products sold, partially offset by a 2.4% increase in net revenue per pound. The decrease in volume of products sold was primarily driven by weak category demand in our U.S. Retail and Food Service channels, price elasticity effects resulting from 2024 pricing actions, and some loss of distribution in our U.S. Channels. The increase in net revenue per pound was primarily driven by lower trade discounts and list price changes, partially offset by changes in product sales mix and unfavorable changes in foreign currency exchange rates. Breaking this down by channel, U.S. retail channel net revenues decreased 15.4% to $31.4 million compared to $37.1 million in the year-ago period. The decrease in net revenues was primarily driven by a 23.2% decrease in volume of products sold, partially offset by a 10% increase in net revenue per pound. This year-over-year decrease in volume represents a reversal from the more positive momentum we observed in the third and fourth quarters of last year. Consumption data suggests that consumer takeaway in US retail progressively weakened in the first quarter of 2025, which we believe contributed to meaningfully weaker shipments than we had expected. Although it is too early to tell and difficult to quantify, we believe broader macroeconomic concerns and reduced consumer confidence are negatively impacting our and other categories in general. In addition to this more general softness in our category, we were also impacted by the lapping of certain items in the year ago period that did not repeat this quarter. These included approximately $1.6 million in ingredient sales, some level of forward buying by customers in anticipation of price increases, which we began implementing in the second quarter of last year, and to a lesser extent, sales of Beyond Meat Jerky, which we were in the process of discontinuing a year ago. Furthermore, as I noted earlier, we experienced some loss of distribution as certain retailers transitioned our products from refrigerated to frozen aisles, although we expect to regain some portion of these losses beginning in the second quarter of 2025. And finally, we did experience some temporary disruptions in supply of a few of our products, as we ramped up production on a new manufacturing line at our Devault, Pennsylvania facility as part of our insourcing initiative. The 10% increase in net revenue per pound in U.S. Retail was primarily driven by reduced trade discounts and the effects of our 2024 pricing actions, partially offset by changes in product sales mix. The impacts of volume and mix are worth calling out, as they impacted not just our top-line results, but also our gross margin performance, which I'll elaborate on momentarily. Turning to food service, U.S. Food service net revenues decreased 23.5% to $9.4 million in the first quarter of 2025, compared to 12.3 million in the year-ago period. The decrease in net revenues was primarily driven by a 22% decrease in volume of products sold and a 2% decrease in net revenue per pound, primarily reflecting higher trade discounts and changes in product sales mix versus a year ago. The decrease in volume of products sold was primarily driven by weak category demand, reduced burger sales to a QSR customer, and some impact from distribution losses. Although we anticipate broader headwinds in this channel will persist in the near-term, we're optimistic that efforts to build out our U.S. Food Service team over the last several months, which are largely complete now, will begin to pay dividends soon. In international, our international retail channel net revenues increased 0.8% to $12.7 million in the first quarter of 2025 compared to $12.6 million in the year-ago period. The increase in net revenues was primarily driven by a 10.3% increase in net revenue per pound, partially offset by an 8.6% decrease in volume of products sold. The increase in net revenue per pound was primarily driven by changes in product sales mix and lower trade discounts, partially offset by unfavorable changes in foreign currency exchange rates and price decreases of certain of our products. The decrease in volume of products sold was primarily due to reduced sales of the company's ground beef products in the EU, as a packaging transition led to some disruption and limited loss of distribution for those items. International Food Service Channel net revenues increased 12.1% to $15.3 million in the first quarter of 2025 compared to $13.6 million in the years old period. The increase in net revenues was primarily driven by a 13.5% increase in volume of products sold, partially offset by a 1.2% decrease in net revenue per pound. The increase in volume of products sold was primarily due to increased sales of chicken products to a large QSR customer, while the decrease in net revenue per pound was largely driven by changes in product sales mix and the impact of FX partially offset by lower trade discounts. Moving down the P&L, gross profit in the first quarter of 2025 was a loss of $1.1 million, or gross margin of negative 1.5% compared to gross profit of $3.7 million, or gross margin of 4.9% in the year ago period. Gross profit and gross margin included approximately $5.2 million of extraordinary charges related to specific strategic inventory reduction initiatives and expenses related to the suspension of our operational activities in China. Excluding these items, cogs per pound was only marginally higher than year-ago levels, reflecting higher inventory provision on a year-over-year basis, partially offset by lower materials and logistics costs. As I mentioned earlier, our underlying gross margin performance this quarter, which fell short of our expectations, also reflected the impact of lower sales volume as certain fixed costs were spread over fewer pounds sold. We also saw higher labor costs related to the installation and ramp up of a new production line and a tilt in our production mix towards certain products that are more labor intensive and incur higher variable overhead expenses including utilities. This reflects changes in our sales mix more broadly, as our lower cost core products have borne the brunt of softer shipments in recent periods. This underscores the importance we are placing on our efforts to stabilize and ultimately restore growth within our core set of products, given the significance of gross margin expansion as a lever that supports our longer-term objective of achieving sustainable operations. Operating expenses were $55.1 million in the first quarter of 2025 compared to $57.1 million in the year-ago period. Operating expenses included a total of $7.2 million in transient expenses including $4.6 million of incremental legal fees associated with arbitration proceedings related to a contractual dispute with a former co-manufacturer, $1.3 million in non-cash charges arising from specific strategic decisions to increase inventory provision for certain inventory items, and $1.2 million in expenses related to the suspension of our operational activities in China. Below the line, total other income net was $3.3 million in the first quarter of 2025 compared to total expense net of $0.9 million in the year ago period, given by an increase in net realized and unrealized foreign currency transaction gains. Overall, net loss was $52.9 million in the first quarter of 2025 compared to $54.4 million in the year ago period. Net loss per common share was $0.69 in the first quarter of 2025 compared to $0.84 in the year-ago period. Adjusted EBITDA was a loss of $42.3 million or a negative 61.6% of net revenues in the first quarter of 2025 compared to an adjusted EBITDA loss of $32.9 million or a negative 43.5% of net revenues in the year-ago period. Turning to balance sheet and cash flow highlights, our cash and cash equivalence balance, including restricted cash, was $115.8 million, and total outstanding debt was $1.1 billion as of March 29, 2025. Net cash used in operating activities was $26.1 million in three months ended March 29, 2025 compared to $31.8 million in the year-ago period, and capital expenditures were $4.5 million in the three months ended March 29, 2025, compared to $1.2 million in the year ago period. As it relates to our balance sheet, and as Ethan mentioned, we are pleased to announce that we have closed on a financing facility providing up to $100 million in new senior secured debt. Under the terms of the agreement, Unprocessed Foods has provided us with a senior secured delayed draw term loan facility of $100 million. Any drawdowns would accrue interest of 12% prior to the initial maturity date of February 7, 2030, and 17.5% following that date, in each case payable in kind. The initial maturity date may be extended with the consent of both parties. Furthermore, as part of the transaction, unprocessed foods will receive warrants in proportion to the amount drawn down on the facility, giving them the right to purchase up to 12.5% of the company's currently outstanding shares at an exercise price of 115% of the 30-day VWAP period beginning May 8, 2025, with a minimum and maximum exercise price of $2 and $3.75 respectively. Complete terms are disclosed in a report on Form 8-K filed with the SEC. Although we have no near-term debt maturities, in-line with our strategic priorities for 2025, we continue to focus on strengthening our balance sheet for the long-term, including evaluating potential transactions to address our existing convertible notes prior to maturity in 2027. In this regard, we will provide further updates as and when appropriate. Finally, a brief word on our outlook. As with many other companies, we are experiencing an elevated level of uncertainty in our operating environment as a result of the uncertain and volatile macroeconomic conditions which could have unforeseen impacts on our actual realized results. In light of this uncertainty, we believe it is prudent to withdraw our previous full-year guidance and we are limiting our revised outlook to our second quarter net revenue expectations only. Specifically, in the second quarter of 2025, we expect net revenues to be in the range of $80 million to $85 million, reflecting among other things, the anticipated impact of ongoing softness and demand in our category and the consumer sector more generally. With that, I'll turn the call back over to the operator to open it up for your questions. Thank you.
Operator: We will now begin the question-and-answer session. [Operator Instructions] The first question is from Ben Theurer with Barclays. Please go ahead.
Ben Theurer: Hey, good morning and well, good afternoon and thank you very much for taking my question. So Ethan, Lubi, two ones, one I guess for Ethan and another one for Lubi. So Ethan, if you look at the performance in the first quarter and definitely the challenges to overcome. With all the struggle, particularly in the US market, what potential initiatives could you take to boost somehow or to at least stop the decline in volume, what are you thinking about in terms of like just getting stabilization on the top-line in the US? And then my second question, that would be probably more for Lubi, can you share any more details as to the financing agreement of that $100 million in terms of like expected interest expense, how should we think about this, maturities. Any more details you can share that might not be just readily available? Thank you.
Ethan Brown: Great question. Good to hear from you. I'll take the first and hand it to Lubi. So I think it's in a couple different buckets that I think about this and one is easier than the other. And the first really is around distribution. And so as I explained in my prepared remarks, two large retailers, one very large, migrated our products from the fresh or refrigerated section to the frozen section, but it didn't do so in a continuous manner, so took them out of distribution as they were doing their resets for a pretty sustained period, which encompassed all of Q1. And then they're going to be putting them into the frozen in the coming months. And so talking to our sales team, our sales leader, they feel good about the distribution they are gaining back across the balance of the year in the U.S. retail. And I think about 70% of our clients or so could be explained in the first quarter by that distribution gap. So seeing it come back, the distribution back, then the challenge becomes velocity. And that's the harder challenge. But we did see toward the end of last year in stores where we had not lost distribution, so where there was comps that were in the same stores, we were starting to see, particularly with the Beyond 4 lineup, a slightly positive trend on velocity. That has not occurred in the first quarter as I think we see some consumer slowdown in general. But that second bucket is really the one that we need to focus on, not from a blocking and tackling of distribution, but on how do we get back into the consumer decision set on our products? And I think we did the hard work over the last two years of trying to clear up some of this misinformation. If you think about where we were two years ago, it was kind of the height of this intense misinformation campaign where there's something wrong with the ingredients, there's the process and so on and so forth. And we still have some of that. But you can feel it waning a little bit and it's sort of more of the truth starting to come out. And the way we dealt with that, right, was all these programs where we got certifications from the American Association, the American Diabetes Association, Clean Label Project, and other organizations to help counter that negative narrative that we got there by not by the meat industry but also by the pharmaceutical industry who didn't want to lose sales from selling antibiotics to livestock. So we kind of made it through that really intense pressure cooker. And now I think it's about, you know, we did the Stanford study, all these things I talk about a lot. But now it's really about making that digestible for the consumer, no pun intended. And what I mean by that is how do -- we put that message out on social media? How do we get folks to understand that in a relatable way? And that's what this Real People, Real Results program is about. And to see the first batch of these folks go through the program, and it's again, being administered by a terrific doctor, Dr. Lederman. He was one of the main doctors behind the Forks Over Knives plan, as well as the Whole Foods diets with Whole Foods in the store. To see him use our products and plant-based eating in general to transform people's health outcomes, whether it's the energy levels, the cholesterol levels, even there is good weight loss occurring, things of that nature, is impactful and powerful. And so if we can continue to clear that message up and get into decision making as consumers, as I mentioned, that study I mentioned was from Cargill, and it shows that very significant increase among U.S. consumers in protein. And part of that has to do with the use of the weight loss drugs and the need to increase protein intake if you're on one of those drugs or perceived need anyway. So we're seeing that intensification of interest in the US consumer around protein. We are a very clean source of protein. So, how do we continue to chip away at the misconception and drive a more positive perception around our brand? And we're doing that. So, two parts. One, restore this distribution. Two, make sure we get the narrative in front of the consumer, and I think we're doing those things. So I view this really as an aberration versus a trend. I think if you look at our Q2, Q3, and Q4 results, what I hope you'll see is the impact of some of that increased distribution.
Lubi Kutua: Ben, I'll address your second question, which was around the financing. And I think I provided some of the detail in my prepared remarks, but I'm happy to cover those again. The initial term of the facility is 4.75 years, just under 5 years, with some options to extend. As I mentioned in my prepared remarks, it is a delayed draw facility. And any drawdowns in the initial period would accrue interest at 12%. That's through the maturity date of February 7, 2030. And then they would accrue interest at 17.5% following that date. And as I mentioned on the call, it would be payable in kind interest initially. So I think that pretty much covers the sort of key terms of that financing, but I'm happy to address if there are further questions.
Ben Theurer: Just to say a real quick follow-up on that. How do you think about what you've stated about in the press release that you continue to look into other alternatives. I know there's the interest rate [and all that kind] (ph) of stuff. So what else is currently in consideration of the company to kind of like support the cash need that you might have.
Ethan Brown: You were a little bit hard to hear on that question, Ben, but I think you were asking about what else can we do to support our cash needs. Is that it?
Ben Theurer: Correct, correct.
Lubi Kutua: Yes. Yeah, So, you know, obviously, having access to this capital is certainly beneficial for the business. But I would say, that that doesn't change any of the sort of key initiatives, right, that we are pursuing in support of this EBITDA positive goal of ours. So in order for us to get there, and I think we discussed this on the last earnings call, we have to stabilize the top line. So to get to the question that you had asked, Ethan, we have to expand gross margin and we have to kind of maintain pretty tight operating expense expenditures and look for further opportunities to reduce that. We really have to do all three of those things and if we can achieve that, then obviously, the rate of cash consumption of the business will be reduced. But obviously having some flexibility with this capital is also very beneficial to us.
Ethan Brown: So I can just add to that and get to other questions as well. But I want to over emphasize this point that what's most important in the business, and this is obvious but just so it's understood, is not necessarily driving some sort of spectacular growth at this time. Like what we're really focused on, right, is making sure that our expense base fits into whatever revenue is going to occur this year. And then second, that the margin gets to where it needs to be. And if you look at the factors that impacted the gross margin in the first quarter, which we went over in our prayer remarks, but happy to talk about as well. A lot of these should not persist. And so we ended the consolidation of the network, got into the Pennsylvania facility. New-line that we set up, it was slower than we expected. The volumes going through there were somewhat diminished because of the things we just talked about on the top-line, that we had these larger inventory reserves that we pushed through in a particularly [dark] (ph) quarter. So all of those things as you get into Q2 and Q3, particularly with the seasonality benefit and how that benefits our core, we expect to see much better progress on margin and hopefully a return to some of the trends you were seeing in Q3 and Q4 of last year.
Ben Theurer: Okay, I'll leave it here. Good luck with that. Thank you very much, Ethan.
Ethan Brown: Thank you. Yep, sure.
Operator: The next question is from Peter Saleh with BTIG. Please go ahead.
Peter Saleh: Great. Thanks for taking the question. Lubi, I think you mentioned in your prepared remarks you're working on building out the food service team. If I heard you correctly, can you just elaborate a little bit on that in the U.S.? What is going to be the focus there? How is this strategy going to be different than prior years? And just give us a little bit more detail on that. Thank you.
Lubi Kutua: I can cover that. So I was just on a call before getting onto this with the head of that department. And I think the way to think about the US Food Service is we've had a particularly tough run at it recently and the kind of distribution gains that I was talking about in retail, while it's not as cut and dry, it's not like summer coming back and things of that nature, that team is now more fully built out and we expect to see improvement in the U.S. food service performance. Now it depends though, that's one of the first places you start to see consumer concerns. So if that category continues to struggle, Bill Macdonald, McDonald's, et cetera, I can't guarantee it, but we are starting to pick up more wins. And I think it has to do with, we've done better historically in the non-com space, universities, hospitals, things like that. But we've now really started to focus on that commercial space again. And I don't think you should expect us to pick up a massive name, QSR, in the U.S. Right now. But we're focusing more on that smaller national account, and we are making some progress there. And you'll hear some fun stuff or encouraging news rather as we progress through the year, but not kind of massive names but maybe a tear down from that places that you would recognize.
Peter Saleh: Thank you very much.
Ethan Brown: Thank you.
Operator: Thank you. The next question is from Robert Moskow with TD Cowen. Please go ahead.
Robert Moskow: Hey, thanks. Lubi, your 2025 outlook, you know, you're pulling guidance for the year. But the reasoning was a little vague. You talked about elevated uncertainty in the operating environment. So does that have anything to do with tariffs and things that we've heard from other CPG companies or is it really just kind of like, hey, the demand here in the US is hard to predict right now. Is there anything specific you're seeing with retailer changes that you don't want to opine on? Like, I'm trying to dig a little deeper into what the verbiage means.
Ethan Brown: Yeah, I doubt Lubi can provide additional commentary, but the main point is you see the uncertainty that is unfolding right now in consumer spending. And those are ripple for some companies, like you look at like a, you cover a lot of the sector, you look at J&J, you actually look at the stuff I just mentioned with Bolle and McDonald's, et cetera. But for us, that can be significant, right? So we just don't know. And there's no lurking concern other than that. And I really want this team focused entirely on reaching profitability versus chasing a number arbitrarily. So I've been behind that, but we'll have to just take it quarter-by-quarter right now. And the main point here is to get this EBITDA positive goal done and stabilize the business. I mean, over time, and you and I have talked about this a lot, I have zeroed out that this business is going to be the very large business we've expected it to be. But trying to drive an upside right now in this environment at the expense of stabilizing and reaching EBITDA and profitability, obviously not a good idea. And so it's really around, let's take some of that pressure off, let's make sure we get the internal stuff right, let's make sure we get the margins right, and let's reach this EBITDA positive goal in a run rate basically by the end of 2016.
Robert Moskow: Go ahead, Lubi.
Lubi Kutua: I was just going to say to add to that. So, you know, it's obviously there's a lot of discussions around tariffs and how that may impact various sectors in the broader macroeconomic environment. It's obviously still pretty early days, but I would say we've obviously been focused on it as well, and we've done some analysis to try to understand what the implications might be. Look, there's no guarantees, but I think at this point, we think the direct impact on our business is relatively minimal. But nonetheless, I think that is causing some discomfort across the consumers more generally. And what we've seen in the past is, a skittish consumer, you know, does not help our category. Back in, I believe it was 2022 when sort of inflation was peaking, across various portions of the grocery store. We saw sort of a lot of trading down or whatever you want to call it from the plant-based meat category into animal protein. And remember that still a vast majority of our consumers are flexitarians. So all of our consumer surveys indicate that people who are purchasing our products are also purchasing animal protein. And so I think there's definitely some correlation just between when you have concerns or consumer confidence is shaken, that typically does not have a negative impact on our category, I think, relative to animal protein. So when we're talking about the uncertainty in the macroeconomic environment and the challenges that presents to our business. Obviously, you've seen in the numbers that we reported, there's some fairly large declines in volumes in some portions of our business. And as you know, that can be a pretty meaningful swing factor, right, for our P&L down to the gross profit. And so we're just kind of weighing all of those factors together. I think it would be difficult for us to provide any sort of long-term outlook right, that's almost a year out with any high degree of certainty. And so we believe it's more prudent to look much closer in.
Robert Moskow: Okay. And just in SG&A, you mentioned some one-time expenses in first quarter, some are legal expenses. So can you give us kind of like a real run rate SG&A for second, third, and fourth quarter? I guess is it [$7 million] (ph) less than what we have in first quarter, is that the right way to look at it?
Lubi Kutua: Yeah, so what we reported in our Q1 results, you're correct, there was about a slightly over [$7 million] (ph) of extraordinary items in there. I think our legal expenses were elevated relative to what I would sort of characterize as normal course business, right? Part of that was related to arbitration that we talked about. And then there was some strategic decisions around inventory per division, specifically as it relates to donations, as well as our China. So all of those combined. Now, we will continue to see some impact although it would be split between COGS and OpEx from the shutdown of our operations in China, I would say, you know, we currently expect to see a little bit of normalization on the -- in terms of the legal expenses, and then obviously the strategic decisions that sort of impacted the donations that we called out in the press release. We wouldn't expect that to repeat, but, unless there was, you know, sort of other similar type of strategic decisions.
Robert Moskow: Okay, thank you.
Operator: The next question is from Kaumil Gajrawala with Jefferies. Please go ahead.
Kaumil Gajrawala: Hey, guys. I guess a little bit of a follow-up to Rob's question on what we're hearing across a lot of the rest of CPG, but to maybe drill down on one of the things we're also hearing is on de-stocking, maybe a little bit more on hard goods than on food, but curious if that's also something that you are seeing and you're dealing with. And then the second question on, it would be some of the, you know, it sounds like kind of one-times that you had just mentioned. Are there any additional things that are similar to that we should be aware of for the coming couple quarters?
Lubi Kutua: I think on the [de-stock] (ph), and we'd heard some of that from our team, but we can't quantify it, but there was some discussion around that. More so it was, I think, in that latter part of the quarter, just a general slowdown in consumer behavior, but we did hear that as well, but don't have a firm hold on the percent contribution.
Ethan Brown: Yeah, and just on that first point, I mean, and I mentioned this in my prepared remarks, you guys have access to the scanner data and, certainly what we saw was a sort of progressive weakening in the category takeaway data in the first quarter. And so when you have those types of trends, obviously the risk of inventories starting to build within the retail channel does increase a little bit. So, but I would say at this point, we're not hearing like that broadly as a potential risk. But certainly when you have an environment that's softening, that could potentially be a factor. Your second question in terms of the sort of one-time items, the only thing that at this point I think that's really worth noting is that China, the costs related to the suspension of our activities in China, that will, The way we are treating those expenses from an accounting perspective is we are taking accelerated depreciation on those expenses through the end of 2026. And so each quarter, we will call that out, but each quarter there will be some impact related to that decision.
Kaumil Gajrawala: Okay, got it. Thank you.
Ethan Brown: Sure.
Operator: This concludes the question-and-answer session. I would now like to turn the conference back over to Ethan Brown for any closing remarks.
Ethan Brown: I appreciate the good questions. I think we're, as I've said, just very focused this year on trying to make sure we're positioning the business for the EBITDA positive goal in the latter part of 2026, a run rate basis. And, you know, whatever the top line is, that's what we've got to go deliver. And I think we're making the right moves to do that. So I look forward to reporting out in August. Thanks.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.